Operator: Good day, ladies and gentlemen and welcome to the Destination XL Group Inc. First Quarter 2019 Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I'd now like to introduce your host for today’s conference, Lisa McKee with ICR. You may begin.
Lisa McKee: Thank you, Ashley, and good morning, everyone. Thank you for joining us on Destination XL Group’s first quarter fiscal 2019 earnings call. On our call today is our President and Chief Executive Officer Harvey Kanter and our Executive Vice President and Chief Financial Officer, Peter Stratton. During today’s call, we will discuss some non-GAAP metrics to provide investors with useful information about our financial performance. Please refer to our earnings release, which was filed this morning and is available on our Investor Relations website at investor.destinationxl.com for an explanation and reconciliation of such measures. Today’s discussion also contains certain forward-looking statements concerning the company’s comparable sales growth, the wholesale segment and free cash flow. Such forward-looking statements are subject to various risks and uncertainties that could cause actual results to differ materially from those assumptions mentioned today due to a variety of factors that affect the company. Information regarding risks and uncertainties is detailed in the company’s filings with the Securities and Exchange Commission. Now, I'd like to turn the call over to our CEO, Harvey Kanter. Harvey?
Harvey Kanter: Thank you, Lisa and good morning, everyone. I am thrilled to be speaking with you today for the first time as President and CEO of Destination XL. In the less than few months, but I've already learned so much about this incredible company and the passion our teams have for engaging with big and tall consumers. I am learning fast and quickly acquiring greater insight for the powerful opportunities yet ahead. I've travelled to over 20 stores and heard first hand from our guests what they love about DXL. In short, they told me that the DXL experience is very different from other more traditional retailers and although my words, not theirs, what they said was that this different experience is memorable. It is what really sets us apart. For many big and tall consumers, it is a challenge if I am not quoting that truly fits him but the guests I spoke with told me that DXL gets it. DXL understands it's challenge and helps them solve it. At DXL we strive to empower the XL man to look and feel his best, by delivering a memorable experience and a wide assortment in men's clothing and shoes. We believe DXL's place in the market is as the quintessential specialty retailer of big and tall driven by the most extensive uniquely curate in size assortment of men's clothing and shoes that is designed and built for XL proportions. The reality is our clothing has not just scaled our product. We have a distinctive spec, fit spec to be specific, that is our secret sauce that we use to develop products for every size, which uniquely fits each customer in a way other retailers just do not. Our mix of value price labels to higher end brands and exclusive designers experienced in a one-stop shop across all consumer touch points provides consumers a differentiated and emotionally connected experience. I joined DXL because I believe we have a greater opportunity and by focusing on our core consumer and exceeding his expectations as well as those who purchase for him, we can and will drive improved business and financial performance creating value for all stakeholders. And now I want to share with you four key topics that I am going to talk about today. First, I want to give you a brief background on myself and what attracted me to DXL. Second, I'll touch on our Q1 results. Third, I want to talk more broadly what I've learned from the business in my first two months as the CEO and finally and perhaps most importantly I want to provide you with a high overview of the mission, vision and strategy that we the Senior Leadership team have begun to offer. I will then turn the call over to Peter, who will walk you through the Q1 results in greater detail before opening up the call for questions. First a brief background on myself. I am 30-year retail veteran with experience across many categories and channels. I love retail. It's actually all I ever wanted to do. I am a merchant and a marketer who is energized by brands and people. I am driven by developing and mentoring a team to focus on developing and executing a strategic plan to achieve operating success. I am oriented around the discernable difference between specialty retail and brand versus just another distribution outlet for selling goods and services. Creating a lasting memory, a memorable experience in the eyes of the guests is what drives me. Why did I choose DXL? Quite simply, DXL feels a lot like Blue Nile and Moosejaw matters. As a company DXL has a special place, not just in retail but in the hearts and minds of our guests and our company provides a solution unlike anyone else. We present ourselves in a differentiated, unique and compelling way to be a solution for all his clothing and shoe needs. DXL provides a memorable experience. Now let me give you a brief high-level overview of our first quarter results. We've had a difficult start to the new fiscal year with a quarter's performance below our expectations. Comp sales for the quarter were down 1.2% compared to a 2.2% positive comp in the prior quarter. We experienced declines in traffic in both our stores and digital platforms as we were not immune to the severe winter weather during the first half of the quarter, particularly in the Midwest and Northeast. We were further impacted by unseasonably cool and wet weather during the second half of the quarter. Every year in spring, we see a clear sales build in our seasonal categories such as shorts, T-shirts, and Polo’s as our customer starts to put away his winter clothes and brings out his summer clothes. The unfortunate reality is not only have we not seen a ramp, but these categories have compared negative. Interesting enough in just the last few days, we have seen positive changes as the sun and warmth have begun to show up. Despite the weather challenges, our assortments are in great shape and our sales associates continuing to deliver a top-tier experience, both of which enable us to register another quarter of improve shopper conversion and improve dollars per transaction. In our attempt to drive traffic to the stores, we experienced a higher coupon redemption rate in the quarter among our customers taking advantage of our discount promotions. Unfortunately, the promotions which were similar in scope and offer to last year failed to drive incremental traffic. As a result, our mix of spending from discount customers versus our traditional full-price shoppers were higher than last year. This shift was higher marked down rate resulted in a lower gross margin. Below the gross margin line, we continue to manage expenses well with our SG&A in line with expectations. Now, let me tell you little bit about my observations and learnings from my first 45 days. The DXL brand has many significant strengths that I believe we can leverage to drive results. First and foremost our competitive position is strong. DXL is a market leader in both scale of merchandise and in-store locations. Our core big and tall consumer has unique clothing, shoe and accessory needs and we believe that DXL fulfills those needs well. We have a great deal of historical knowledge on our customers plus behavior and we capture data over 90% of our transactions. From a headquarters to our field associates, we have a strong culture and incredibly passionate teams all aligned to create an incredibly compelling experience for big and tall guy. We have a powerful mid-size assortment spanning both designer brands and our own private label offerings. We are continually evolving our service to ensure that our product vision matches his lifestyle needs. We operate 237 DXL stores today and are extremely impressed with our presentation. The in-store experience and are clear and compelling operational store discipline. Despite these strengths they are not enough to drive the performance of our business to the levels I believe we are capable of achieving. To that end my first priority with the management team has been to more clearly articulate our mission and our vision, which we have done and I would like to share with you today. Our DXL mission is to offer the most extensive and uniquely curated specific sized assortment of men's clothing and shoes designed and built for big and tall XL proportions from value labels to higher end brands and exclusive designers and to provide consumers a unique and memorable experience in a one stop shop across all consumer touch points. Our DXL vision and really our brand promise is to empower the XL man to look and feel is as best by delivering an unequaled shopping experience and assortment in men's clothing and shoes. We're now working to develop a strategy to align our company around these plans, to KPIs and the timeline to achieve our goals ultimately achieving higher returns for our shareholders. As an aside, if you look to my comp package which I'm sure many of you have is clear I'm aligned side-by-side with our investor base. Our second priority and the primary goal is to drive repeat visits and customer retention as well as acquire new customers. To accomplish our count goal, our customer count goal we are reducing blunt or broad-based marketing and becoming more surgical. The digital opportunities today to interact with the addressable market versus the broader market generically can directly and uniquely help our marketing engage in a stickier and more meaningful way. In so doing, we believe that we can drive greater productivity and return on ad spends. More broadly far beyond just big and tall, we will think digital, think experience, think consumer and think personalization. We can learn from so many places, people and events. There is a far greater opportunity today to use data, analytics and resulting insights which we have not yet leveraged at the level possible. Through this, I see meaningful opportunity for growth in the direct-to-consumer channel both through our company website and marketplaces. Now, let me talk a little bit about the development of the omni-channel marketing plan. Jim Davey, our CMO has been leading this effort and today we have a clear focus on achieving our number one goal of driving the customer files through greater repeat visits, retention, and new customer growth. We need to keep the customers we have and increase the frequency of their visit while at the same time we need to acquire the big and tall customers out there who are not shopping with us today. We have done a great job. at defining the brand strategy and we'll continue to delve deeper into engaging both current and new customers through these marketing initiatives. We continue to believe we must leverage the marketing communication across all consumer touch points, to tell the story we want to tell. Our path to achieving this vision will be grounded in a new approach to customer relationship management. We will elevate our personal relationship with both our existing guests and those consumers we know who should be DXL customers through the new CRM technology we are implementing. Clienteling, personalization and our Save-the-Sale initiative all offer a solid foundation for us to further develop a one-to-one connection with guests and consumers. We had good data from our customers but we're just not using it effectively. For example, if we have a customer with a clear affinity for shoes we want to be sure we are highlighting shoes for him over suits. Alternatively it doesn't make sense for us to send a customer with a clear preference for a higher end luxury brands and email for a special on clearance sale product. This is work in progress and we have lost a project that will be implemented in the second half of the year to upgrade our CRM system from a 15-year old homegrown database to a best-in-class comprehensive solution. And finally our third priority is the development of the wholesale brand extensions that we started talking about last quarter. We further developed the plan for wholesale business anchored by our long term mission, vision for the business, as well strategies to support the plan. Let me be very clear, we don't want to rush this. We are taking a test and learn approach to our wholesale rollout. We need to go slow and execute well and we need to establish strong financial discipline with an eye towards building a profitable business model. We see wholesale as a significant opportunity to capture share across the big and tall spectrum. To date, we have limited our wholesale product offering to basics and core products at opening price points but we see an opportunity scale up to more fashion items in the future. With many opportunities in front of us it is important that we continue to develop process structure and discipline, three of my favorite words through a prioritized and focused manner. We will drive the process and disciplined structure through a detailed level and discussion through communication around our mission and vision and strategy. To summarize in my short time in DXL we have strategized to further develop our mission, our vision, and our brand marketing strategy. Our number one initiative is to grow our customer file and we've begun to lay a framework to achieve that goal. At DXL big and tall is all we do. We are uniquely positioned in the marketplace as the fit leader with every garment specifically structured across all size offerings. We are further differentiated by our associates who are keenly in tune with the needs of our customers and we have consistently delivered an exceptionally high level of service. Over the next few months I intend to further articulate our plans on how we intend to grow our customer base and speak to the key metrics which we will be monitoring to measure our progress. And with that I will now turn the call over to Peter, our CFO, who will review our financial performance. Peter?
Peter Stratton: Thank you, Harvey and good morning, everyone. I'd like to start this morning with a brief summary of our first quarter results. For the quarter, total sales decreased approximately $300,000 or three tenths of 1%, 0.3% to $113 million compared to last year's first quarter. The decrease was primarily due to a comparable sales decrease of 1.2% and a decrease of $1.6 million from closed stores. This decline however was partially offset by an increase in wholesale revenue of $2.4 million. Within our direct to consumer channel our e-commerce sales increased to 21.6% of our retail segment compared to 21.2% last year. From an operational perspective we struggled with sales momentum specifically across the northeast and upper Midwest. Our traffic for the quarter was negative low single digits while conversion in dollars per transaction was slightly positive. We believe weather played a significant role in our performance as severe winter conditions persisted in the first half of the quarter while the delayed arrival of consistent spring weather impacted the second half of the quarter. This trend was further evidenced by poor performance in our warm weather seasonal categories such as shorts. Gross margin for the first quarter inclusive of occupancy costs was 43.7% compared to 44.7% in the first quarter of last year. The 100 basis point decrease was due to a contraction of 150 basis points in merchandise margin partially offset by 50 basis points of occupancy cost leverage. It is important to note that our merchandise margin is being impacted by our new wholesale segment. Of the 150 basis point decrease in merchandise margin 110 basis points was due to the shift in mix between our wholesale segment and our retail segment. The remaining 40 basis point difference was due to a higher redemption rate for promotional offers in our retail segment but partially offset by efficiency improvements in our shipping model. As we noted on our fourth quarter call, the gross margin on wholesale is naturally lower than the margins in our store and direct channels. We view wholesale as an opportunity to scale and leverage our big and tall market expertise and reach ultimately driving both top line and bottom line growth. With regard to SG&A expenses I would like to highlight several puts and takes from the quarter, which decreased by $800,000 compared to last year. The SG&A decrease was primarily attributable to approximately $2.3 million in savings that resulted from our corporate restructuring in May 2018. These savings were partially offset by an increase of approximately $400,000 of cost incurred in our developing wholesale business. Additionally, in the first quarter of 2018 we benefited from a $600,000 one-time insurance gain that negatively impacts our comparison to last year. Finally as a result of adopting a new lease accounting standard, we are no longer receiving a $400,000 quarterly benefit to SG&A expense from amortizing a deferred gain related to a sale leaseback transaction. Due to the new accounting standards we were required to recognize the remaining deferred gain of $10.3 million as a direct adjustment to retained earnings. As a percentage of sales our fiscal 2019 first quarter SG&A expenses were 39.5% compared to 40.1% in last year's first quarter. Customer facing costs which includes store payroll, marketing and other store operating costs represented 22.6% of sales in the first quarter of fiscal 2019 compared to 22.9% last year. Marketing costs for the quarter were 4.3% of sales compared to 4.2% in the first quarter 2018. Corporate support costs, which include the distribution center and corporate overhead costs, represented 16.9% of sales in the first quarter of fiscal 2019 compared to 17.2% last year. Our adjusted EBITDA for the first quarter was $4.8 million compared to $5.3 million in the first quarter of 2018. GAAP net loss for the first quarter was flat to last year at $3.1 million or $0.06 per diluted share. On a non-GAAP basis, adjusted net loss for the first quarter of fiscal 2019 of $0.04 per diluted share was flat to last year. Now let me turn to our balance sheet and cash flow. Cash flow from operations for the first three months of fiscal 2019 was a cash use of $16.5 million compared to a cash use of $5.8 million for the first three months of fiscal 2018. The decrease in cash flow from operations was primarily due to the timing of working capital. At the end of the quarter, our accounts payable in accrued expenses were lower than the prior year as a result of the timing of payments due on certain inventory receipts as well as other direct expense payables. Lastly, based on 2018 performance to plan, annual bonus payments increased $3 million in the first quarter. Capital expenditures for the first quarter of fiscal 2019 were $3.7 million compared to $3.3 million last year. The increase in capital expenditures was related to higher IT infrastructure projects including our order management system upgrade. Within our store portfolio, we rebranded five Casual Male XL stores to the DXL format and we closed two Casual Male XL stores and two Rochester Clothing stores. Inventory at the end of the first quarter was up $6.1 million or approximately 5.8% compared to last year. The inventory increase was due to a combination of accelerated merchandise receipts and lower than expected first quarter sales. It's important to also point out that on a two year basis our inventory is down 7.5%. We ended the quarter with a clearance inventory representing approximately 10.6% of our total inventory compared to 9.7% last year. We remain comfortable with the composition and cleanliness of our inventory position and believe that less seasonal selling was the primary driver to the higher clearance level, which we expect will normalize by the end of the third quarter. At the end of the quarter total debt was $79 million which includes borrowings under the revolving credit facility of $64.3 million with excess availability of $32.3 million. This compares to $70.3 million of total debt a year ago with excess availability of $32.7 million. The increase in debt is directly related to changes in the timing of our working capital and more specifically a decrease in accounts payable for the quarter. As I mentioned in the first quarter of fiscal 2019 we adopted the new lease accounting standard called ASC 842. As a result of the adoption we established our leases as right of use assets of approximately $214 million and established corresponding lease liabilities of approximately $255 million on our consolidated balance sheet at February 3, 2019. The $41 million difference between the right of used assets and leased liabilities was primarily attributable to the elimination of certain existing lease related assets and liabilities as a net adjustment to the right-of-use assets. We also recognize a net increase to opening retained earnings of approximately $5.3 million primarily related to the remaining deferred gain of $10.3 million from the sale leaseback transaction. The adoption of this new standard is not expected to have any other material impact on earnings for fiscal 2019. In closing, we still expect to deliver comparable sales growth in our omni-channel retail business and we still expect to generate free cash flow in fiscal 2019. The company will continue to provide forward looking commentary on business trends. And with that, Ashley, we will open the call to questions.
Operator: [Operator Instructions] And our first question comes from the line of Bernard Sosnick with Madison Global. Your line is now open.
Bernard Sosnick: Good morning and welcome Harvey Kanter. It was a very refreshing overview that you provided. I'd like to follow up a bit with regard to the marketing overview. It's clear that you're eliminating or moving away from broad based advertising to direct to consumer. What implications does that have from your viewpoint right now regarding the level of advertising dollars to be spent, which in the past for my opinion was much too high?
Harvey Kanter: You know it's a great question and I would tell you that it's a little early to substantially say that there's a material change expected. I think what we're trying to evaluate is – and understand better is the impact for lack of a better word is that in building the recipe. So we do expect there is a place for broad based media communication i.e. TV and radio. And you may or may not have heard some of the increased TV we’re doing in the past going away but the radio replacing it with a belief that we can get close to do our core customer with all of the unique direct applications in media today. Those are still both broad based media opportunities but more importantly to your point we believe there's inflection created by digital marketing and be able to get closer to the customer. That being said, quite honestly it's too early to substantiate a material change yet but we believe we will maintain all of the elements evolving their presented total and their relevance in the marketing package that Jim's steering into.
Bernard Sosnick: Okay. Thank you. Can I follow up on that? The view with regard to fit and focus that DXL provides is key of course to the concept with regard to the wholesale business the $2.4 million revenue that you cited for the quarter was similar to the $2.4 million for the first two months from Amazon. Is that the pace that you anticipate or do you foresee Amazon coming in with higher purchases in the second half of the year?
Harvey Kanter: Well we clearly expect the business to accelerate. We're in the very infancy of the process for building a wholesale plan. So I think directionally we could definitely say it will continue to growand be more meaningful in the future quarters. I would – at the same time, manage our expectations. We are trying to ensure that we're building a plan for a long-term vision as opposed to grab the shiny brass ring for the next quarter.
Bernard Sosnick: Well, thank you. I really look forward to hearing from you in future conference calls and the results that you are likely to produce. Oh, one more question by the way, I'm sorry. CRM, we heard in the last conference call that there was an investment in a new CRM system and you just said that the CRM system needs considerable improvement. Does this include significant capital investment?
Harvey Kanter: So just to be really clear, I'm not sure what you're referring to exactly in the way you heard it last time, but we are in the process of putting in place a new CRM system. We had a 15-year-old home grown proprietary CRM database system and we are putting in a new one. So it's not an extension or improvement or what was. It is a new CRM system. That new CRM system should be live by early fall in the beginning elements that we can leverage for the second-half of the year 2020 will really be the point in time where it's fully implemented and the opportunity to create greater impact and specifically engage the consumer in a personalized unique one-to-one way will come to life. And so, it's important that you hear two things; one, there is a new system and yes, it does have a capital element to it. Peter, can certainly talk to that, but it's not in place yet. It will be in place in fall in the very beginning part, but in terms of what will happen it will really come to life in 2020 in a more meaningful way.
Bernard Sosnick: Okay. And is that the system that you would have chosen had you made the decision?
Harvey Kanter: It's a great system. The one we're doing is really one of the best-in-class out there, and they've done an extensive process before I arrived. To be quite honest, they waited for me to put my name next to it, but it's a great system.
Bernard Sosnick: Good to hear. Thank you.
Operator: Thank you. And our next question comes from the line of Eric Beder with SCC Research. Your line is now open.
Eric Beder: Good morning. Congratulations on your first quarter, Harvey?
Harvey Kanter: Thank you.
Eric Beder: We thought a little about online. So, the online business is already a 20% plus business. What do you think it should be, and what are the opportunities in terms of margin to drive the online business even higher?
Harvey Kanter: I'm going to talk to the kind of a broad-based way because I don't think it would make sense for me to give you an exact answer. I think what I would tell you is if you think we're almost at 22 points in change penetration and the best-in-class players, I might note Williams-Sonoma as a reference point is nearly 50% direct to consumer. And so, I don't know what the right number is. But, I clearly believe if we are able to do what we want to do with both our CRM and understand that we're not here to define how the customer shops. We're here to give the customer options to the app through the browser-based experience and through our stores. The customer will choose how far they want to buy. But the requirement is really for us to be where the customer wants us to be, when they want to buy. And we believe that, that includes a meaningful growth of online and direct-to-consumer experience digitally. So north of where we are certainly, I never expect this to get to that 50% mark, but there is a lot of blue sky between 20% and 50%. So I would say that's kind of a reference point.
Eric Beder: Great. When you look at the kind of legacy Casual Male stores, which are being converted into Destination XL you know what is the – should that be expanded even more in terms of being more aggressive in conversions and how should we think about kind of in the legacy pieces here and what's going to happen on them?
Harvey Kanter: It's a great question and when we continue to evaluate especially with my joining the firm. We believe that those stores are producing at a level that we will convert all of them over time and it becomes a function of how much literally we can manage number one and what makes sense on the P&L. And we're moving through that as an ongoing conversation, but there's about 60 left and our belief based on performances we’ll continue to convert.
Eric Beder: Great. And last question here in terms of looking at the designer brands you have I guess you [indiscernible] it’s pretty much done. Are there brands that you want to bring in that you don't have now?
Harvey Kanter: Well, I think to the point you made I think we've done a great job at bringing in really relevant and important brands. That being said, we have to constantly as I said think about the consumer, think about how the consumer is moving and think about what's important to them. And the development of new brands is always going to happen. We have some brands like Psycho Bunny is the perfect example, which is a relatively new brand relative to things like Ralph Lauren and they're both really important. But Ralph Lauren is a core part of our mix that has been around for obviously a very long time as a brand. Psycho Bunny is a newer brand and Allison who's our head merchant is continue to work with the team to make sure that we are on top of new trends and I expect there will be some new brands to develop. But there's nothing out there that – there is a shiny new object that I would say that we have to have today.
Eric Beder: Great. As a customer, I look forward to seeing the changes. Thank you.
Operator: [Operator Instructions] And our next question comes from the line of Chris Krueger with Lake Street Capital Markets. Your line is now open.
Chris Krueger: Good morning.
Harvey Kanter: Good morning, Chris.
Chris Krueger: Hi. You indicated that your same store sales are down 1.2% in that volatile weather patterns had an impact. Was there any part of the quarter where the comps were down harder or was it fairly consistent throughout the quarter?
Harvey Kanter: Sure. So Chris I'll take that one. And I think the toughest part of the quarter was in February. We saw a little bit better in March, and then in April, we struggled a bit as well. So it was pretty even across the quarter but the most difficult month was February.
Chris Krueger: And how about the month of May so far, we are almost to the end of it, is it been similar to April or a little bit better?
Harvey Kanter: Yeah. It’s Harvey. I think it started out pretty rough to be quite honest and very much weather driven. We saw very much highs and lows across categories that were uniquely different based on the seasonality of the product. So shorts, T-shirts, shirts as I mentioned in the call – opening call and that’s were pretty difficult. We've definitely seen May moving forward in a relatively meaningful way as the weather is popped and what we can also see is regionality in those pops. It's unfortunate but where the stores have really taken a toll on the consumer we've clearly seen they're not oriented to shop. The flip side is in the northeast where we've had positive of 75 degrees and 80 degrees we've seen meaningful change in the comps for a moment as the customers come out and – in Memorial Day and leading up to this weekend has been a perfect example where warm weather has clearly impacted some of those categories.
Chris Krueger: Okay. And then, on your advertising plan and over the last several years, there’s typically two times a year where that was boosted typically leading up to Father's Day and then, the November-December timeframe. What's the outlook for this year?
Harvey Kanter: I think it would be anything, but smart not advertise when the fish are biting for lack of [indiscernible] is what I’d say. So you actually – if you monitor our advertising over the last four weeks, you will see or would've seen we’ve said there’s somewhat of a slower pace building in the Father's Day and now, you see clearly the Radio that I already talked to re-igniting the TV and some other digital increases if you're monitoring our digital marketing that are leaning into Father's Day and obviously, Father's Day and the holiday are the two most meaningful points in time. Interesting enough, the male shopper – our big and tall male shopper, we believe is less seasonal, if you will overall and is really needs based and certain catalysts provide a compelling reason for him to want to shop and we're trying to lead into those like the weather where it's getting warm and he says, he need shorts, but we don't have quite the level of spike maybe other retailers do from the first-half to the second-half.
Chris Krueger: Okay. Last question, can you give us your viewpoint on what you think of tariffs and where your sourcing comes from and how much comes from China? Just an overall outlook on what you think of that situation?
Harvey Kanter: Yeah. I think without getting into any commentary on the politics of it, just playing it simply, it creates risk and we have put in place a lot of measures long before to be quite honest, the tariffs to really leverage a number of different countries across Asia and even in North America, South of the states. And I think that we're well-positioned to manage our way through the tariffs given the change in sourcing the global team and our leader has done to really mitigate one country impacting us in a meaningful way.
Chris Krueger: Very good. That's all I got. Thanks.
Harvey Kanter: Is there anybody else in the queue operator? I guess we're going to bring the call to an end at this point. It looks like there are no further calls or anybody waiting? So, operator we're going to bring the call to a close. Thank you, everybody for being on the call today. Enjoy Memorial Day weekend if you're traveling, safe travel. Take care, have a great day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program and you may all disconnect. Everyone have a wonderful day.